Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to the ACV Third Quarter 2021 Conference Call. [Operator Instructions]. I would now like to turn the call over to Tim Fox, ACV's Vice President of Investor Relations. Please go ahead.
Tim Fox: Thank you, operator. Good afternoon, everyone, and thank you for joining ACV's conference call to discuss our third quarter 2021 financial results. With me on the call today are George Chamoun, Chief Executive Officer; and Bill Zerella, Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding future financial guidance. These forward-looking statements are subject to risks and uncertainties and involve factors that could cause actual results to differ materially from those expressed or implied by such statements. A discussion of the risks and uncertainties related to our business is contained in our quarterly report on Form 10-Q for the 3 months ended September 30, 2021 that will be filed with the SEC following this earnings call. Also during this call, we may present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short time ago. The earnings release is available on the Investor Relations website that is included as an exhibit in the Form 8-K furnished to the SEC. And finally, we will be referencing our earnings presentation today, which you can find posted on our IR website. And with that, let me turn the call over to George.
George Chamoun: Thanks, Tim. Good afternoon, everyone, and thank you for joining us. Let me begin by thanking the ACV team for delivering another quarter of superior customer service to our growing dealer network and further differentiating ACV in the market with highly innovative products. As I will discuss in more detail later, the automotive industry is operating in unchartered territory with the macro factors creating both tailwinds and headwinds for ACV's business. While navigating through these crosswinds, we have continued to deliver strong performance with our financial results again exceeding the guidance we provided to you last quarter. Moreover, in addition to gaining market share, we are investing aggressively to extend our geographic presence, expand our technology lead and position ACV for sustainable long-term growth as the automotive market normalizes in coming quarters. Turning to Slide 3. I'll begin with highlights of our third quarter. As you can see, our momentum in the market continued in the third quarter where we transacted the second consecutive quarter with $2 billion of GMV. We sold 141,000 vehicles in our digital marketplace, a 19% increase year-over-year and an increase of over 100% on a 2-year basis. Revenue of $92 million was above the high end of guidance and represented 36% year-over-year growth. Our revenue outperformance can be attributed to 3 factors. First, we continue to execute on our proven playbook to grow market share by attracting new dealers into our ecosystem. Second, both ARPU and conversion rates after softening in late Q2 and early Q3 strengthened throughout the quarter. And third, attach rates of our value-added services were well above our expectations. Overall, we are very pleased with strong execution by the ACV team and continued customer adoption of our growing suite of offerings. As Bill will discuss in more detail, we have again increased our outlook for the year. We are now expecting to deliver 65% revenue growth for the full year, a full 25 points higher than our outlook at the beginning of '21. To frame the rest of our discussion today, we will focus on the 3 top-level elements of our strategy to drive long-term shareholder value: marketplace growth, TAM and product expansion, and operating scale. Let me begin with marketplace growth. On Slide 5, let's cover more details in the quarter. we transacted 141,000 units in Q3, which was 19% growth year-over-year and over 100% when compared with Q3 '19. Year-to-date, unit growth is up 46% compared to 2020. The positive market trends I referenced earlier related to vehicle values contributed to GMV growth of 79% year-over-year and consistent with trends in the first half of this year. Vehicle mix in our marketplace continued to move upmarket in Q3. In fact, since last year, the percentage of vehicles valued over $15,000 doubled to nearly 40% during the quarter. While elevated vehicle values will no doubt normalize over time, we believe this higher mix of frontline vehicles in ACV's marketplace is sustainable, resulting in a long-term tailwind for ARPU. Moving to Slide 6. We thought it would be helpful to provide context on the dealer wholesale market in relation to the broader automotive market. As I mentioned earlier, this is a case of competing crosswinds. The 2 charts on the top row highlight trends in the used vehicle market. Sales of used vehicles remain elevated, nearly 70% above pre-COVID levels, reflecting strong consumer demand and elevated retail values. The chart on the right shows how this demand environment has translated into historically high wholesale vehicle prices. Strong demand and pricing have been nice tailwinds for ACV, which you will see reflected in record level ARPU this year. The 2 charts in the bottom highlight the trends for new vehicles, which paint a very different picture. The well-documented semiconductor chip shortages in the automotive industry have resulted in a steep decline in new vehicle sales. The latest [SA] reading of around 12 million units is down 1/3 from pre-COVID levels. And days supply of light vehicles at franchise dealerships has contracted to around 22 days versus historical levels in the 60s. So why does this matter? Consumer trade-ins for new vehicle purchases are a critical input into the dealer wholesale market, historically representing a significant portion of the annual supply. With new vehicle inventories at such acute levels, the volume of trades entering the wholesale market has declined, resulting in a temporary contraction in the market we serve. I say a temporary contraction because the chip supply picture will no doubt improve in the coming quarters. And given the investments we're making in both territory expansion and technology, ACV is very well positioned to benefit from the resulting recovery in the wholesale market. Turning to Slide 7. Let me put a finer point on the supply dynamics in the market. Based on wholesale transactions from a sample of 1,000 ACV franchise dealer rooftops, we estimate that the dealer wholesale market contracted 10% quarter-over-quarter in Q3 and 15% from Q3 '19. This market contraction effectively mirror the decline in listings per dealer that we observed in our marketplace in Q3. After increasing consistently through the first half of '21, this KPI decreased approximately 10% during the third quarter due to the market conditions. Had listings per dealer remained consistent with Q2 levels, we would have transacted approximately 150,000 units in Q3 or year-over-year growth of 32%. Simply put, supply headwinds cost us about 13 points of unit growth, all else being equal. Despite these transient supply headwinds, our marketplace continues to attract new dealers. We reached a record number of sellers in our platform in Q3, and the number of unique sellers increased by 34% year-over-year in the quarter. The takeaway here is that while our industry is facing temporary supply constraints, ACV is gaining market share, attracting new dealers at an impressive pace and delivering strong revenue growth, which bodes well for the eventual automotive recovery. Next, on Slide 8. We are pleased with the great progress our ACV team is making on territory expansion. Over the next 60 days, we'll be opening the remaining territories to achieve our goal of 160 by year-end. Following each initial territory launch, we execute on our proven go-to-market playbook by investing in our inspection capacity, attracting dealers to the marketplace, creating the powerful network effect that we've repeated over 100 times across the country. By year-end, we'll increase our footprint by 30% and be positioned to engage with nearly all the franchise dealers in the U.S. Moving on to Slide 9. Auction marketplace revenue growth was 22% year-over-year and greater than 200% growth versus Q3 '19. Note that the year-over-year comparison was against very strong Q3 '20 results, which benefited from pent-up demand created in the early months of the COVID pandemic. Turning now to Slide 10. Last quarter, I highlighted our consumer sourcing offering, Live Appraisal, that has contributed to our strong unit growth this year. We are an early mover in this category, enabling our dealers to offer consumers an efficient and effective way to sell their vehicles on ACV's marketplace. Live Appraisal has gained significant traction this year with over 110% unit growth year-to-date, and it contributed a high single-digit percentage of our volume in Q3. This offering is being leveraged by dealers across the country today with Live Appraisal sales in 48 states this year, and we plan to expand our offerings in the coming quarters. So stay tuned for more on that front as we continue to penetrate this large market opportunity. Let me turn to the second element of our strategy to drive long-term shareholder value, TAM and product expansion. Moving to Slide 12. I will provide an update on our Private Marketplaces offerings that we launched in June. This private auction platform leverages ACV's marketplace technology to enable dealers to optimize trades within their dealer groups, maximizing both profit and speed. Private Marketplaces provides ACV with another avenue to engage with the largest dealer groups in the country, create new revenue streams and generate a seamless downstream supply for ACV's open marketplace. Private Marketplaces also lays the technology foundation for a commercial offering we plan to launch in 2022. We are seeing strong initial demand with over 20 large dealer groups live today. We are especially excited about a recent partnership with one of the largest dealer groups in the country operating hundreds of rooftops. Following an extensive field test against the incumbent vendor, ACV was chosen to power their private trading network. We won this engagement based on the scalability and flexibility of our Private Marketplaces platform and the quality of our market-leading inspection capabilities. The initial phase of our partnership focused on supporting the dealer group's high-growth consumer sourcing business. We then expanded the scope to include other private network transactions like aged inventory. This key strategic win with a market leader is a testament to ACV's core strengths around technology, innovation, customer engagement and inspection capabilities. We look forward to updating you on Private Marketplaces adoption in the coming quarters. Turning now to Slide 13. We are also very excited about the market traction of our programmatic buying offerings. It's the early days, but this innovative way of enabling dealers to engage with our marketplace already contributed a low single-digit percentage of units in Q3. Our buying API is live today with dealers who have technology platforms that integrate directly with ACV's real-time APIs to generate bids on our marketplace. We're engaging with a diverse set of customers that include large dealers, rental car companies and a leading specialty auto parts supplier. In addition, our programmatic buying user experience is in beta with 8 dealers and will be launching by year-end. This offering will enable the rest of our dealer partners to participate in programmatic buying in our marketplace by creating inventory wish lists to automatically source their inventory needs. These programmatic buying capabilities together with our nationwide inspection team enables ACV to offer a highly efficient and trusted experience, which we believe will deliver superior results for our dealer partners. Moving to Slide 14. We are making great progress with our MAX Digital integration. The teams are fully engaged in the tech integration front while developing joint marketing and sales campaigns. MAX Digital's pricing guidance, merchandising and inventory management products are a natural complement to ACV's current data services that together create exciting growth synergies. We look forward to sharing updates on ACV's vehicle intelligence strategy in the coming quarters as we launch our integrated offerings in early 2022. Turning to Slide 15. Let me wrap up this section with an update on our value-added services. We are making significant investments in the technology and resources to scale ACV Transportation and ACV Capital. These investments are driving strong top line growth by delivering highly differentiated services to the market while also creating efficiencies for both our partners and for ACV. ACV Transport continues to be a key enabler of attracting new buyers to the platform. Our growing carrier partner network and fast cycle times resulted in attach rates of around 50% in Q3. Recall that our initial plans assumed reaching a 50% transport attach rate within 2 years. The transport team achieved this milestone in just 3 quarters. ACV Capital continues to gain traction in the market, and like our transport business, is tracking ahead of the milestones built into our long-term targets. Capital attach rates reached the mid-single digits in Q3, with loan volume improving around 30% quarter-over-quarter. The new finance offerings we launched in June are translating into strong revenue per loan growth, which has increased over 15% since the beginning of the year. We continue to be excited about the revenue and margin opportunities for our capital business with expected revenue growth of nearly 300% in 2021. In summary, Q3 was another proof point that we have created exciting new avenues of long-term growth for ACV by leveraging our powerful data capabilities, expanding our features across our technology platform and driving adoption across our growing suite of digital solutions. With that, let me hand over to Bill to take you through our financial results and also how we're driving growth at scale.
William Zerella: Thanks, George, and thank you, everyone, for joining us today. We are pleased with our Q3 financial performance, having again delivered upside to both our revenue and adjusted EBITDA guidance despite the challenging macro factors George outlined earlier on the call. Turning to Slide 17, I'll begin with a review of our third quarter results. Revenue of $92 million was above the high end of guidance and generated year-over-year growth of 36%. Adjusted EBITDA loss of $12 million or 13% of revenue was also very favorable relative to our Q3 guidance. This performance was driven by our solid revenue results in the quarter and underscores the inherent operating leverage in our business model. As expected, cost of revenue as a percentage of revenue increased year-over-year and was modestly above our expectations. The year-over-year increase was driven primarily by the mix of ACV transport revenue, which increased approximately 600 basis points year-over-year and exceeded our expectations. Additionally, we incurred higher arbitration costs associated with customer assurance revenues in Q3. However, we expect these costs to normalize in Q4, consistent with historical norms. Total operating costs, excluding cost of revenue as a percentage of revenue, increased by approximately 900 basis points year-over-year, less than expected. The year-over-year increase reflects our planned investments across our technology portfolio, operations and go-to-market functions, investments we're making to fuel our long-term growth strategy. Turning to Slide 18. I will cover some additional detail on revenue. We have a diverse revenue mix with approximately 85% of revenue evenly split between Auction Marketplace and service revenue, with the balance in customer assurance. As expected, Auction Marketplace revenue declined modestly quarter-over-quarter, reflecting constrained wholesale supplies in the market but was above expectations, primarily due to improved conversion rates throughout the quarter. Year-to-date, Auction Marketplace revenue was up 63% versus 2020, reflecting strong dealership acquisition and continued penetration of the wholesale market. Profitability in our Auction Marketplace remained strong in the quarter and consistent with the high 80% historical rate. Our services business continued to outperform expectations with strong results in Transportation and Capital. Services revenue also reflects nearly a full quarter of MAX Digital. Moving to Slide 19, I would like to discuss the operating leverage in our business. Here, we're showing historical adjusted EBITDA margin along with our updated outlook for 2021. As I mentioned earlier, 2021 is a year of significant investment for ACV. And as you heard throughout our discussion today, we're delivering on our territory expansion plans, launching new offerings to drive additional market share and investing in technology to scale our operations. These investments translate into a 57% year-over-year increase in operating expense, excluding cost of revenue. And despite this increase, our adjusted EBITDA margin is expected to be flat with 2020, again, highlighting the underlying operating leverage in our business model. Now I'll turn to guidance on Slide 20. For the fourth quarter of 2021, we are expecting revenue in the range of $83 million to $86 million, a growth rate of 54% to 60% year-over-year and a meaningful acceleration over our third quarter growth rate. Adjusted EBITDA loss is expected to be in the range of $22 million to $26 million. For the full year 2021, we are again raising revenue guidance. We are now expecting revenue in the range of $341 million to $344 million, a growth rate of 64% to 65% year-over-year and an increase of $8 million at the midpoint from our previous guidance. Adjusted EBITDA loss of $51 million to $54 million is approximately $11 million lower than our previous guidance. Our guidance assumes that strong used vehicle demand will persist throughout the balance of 2021, creating a positive backdrop for vehicle values in the market. We're also assuming that automotive supply chain challenges will likely continue to constrain new vehicle sales and associated trade-in volumes, which in turn may pressure wholesale vehicle supplies in the near term. And finally, on guidance. To my earlier point about our investment plans, we are expecting total operating expenses, excluding cost of revenue, to grow approximately 57% for the full year 2021. To wrap up my comments, let me highlight our strong capital structure on Slide 21. We ended the quarter with $600 million in cash and equivalents, $152 million of which reflects the float in our auction business. Note that we generated $16 million of cash flow from operations during the quarter due to an increase in the float on our marketplace since June 30. The amount of float on our balance sheet can fluctuate meaningfully, driven by business trends in the final 2 weeks of each quarter. We ended Q3 with $500,000 of long-term debt associated with our ACV Capital business. Given our strong cash position, we continue to optimize our cost of capital, and at current levels are self-funding the ACV Capital business. And with that, let me turn it back to George.
George Chamoun: Thanks, Bill. Before we take your questions, let me summarize. We are pleased with our execution in the third quarter while navigating through the short-term supply headwinds. We continue to gain market share by attracting new dealers to our marketplace and by gaining wallet share within our existing customer base, which positions ACV for strong customer growth going forward. We are executing our territory expansion plans. Our latest offerings are gaining traction in the market and see some very promising growth synergies emerging for our MAX Digital acquisition. We have a proven business model that can deliver scalable growth with attractive unit economics and structural operating leverage that we believe will drive significant shareholder value. With that, I'll turn the call over to the operator to begin the Q&A.
Operator: [Operator Instructions]. Our first question comes from John Colantuoni with Jefferies.
John Colantuoni: So I wanted to start with share gains. It looks like dealer wholesale was down 10% sequentially in 3Q, which means ACV continued to gain share. Maybe you can talk about how dealer wholesale trended sequentially last quarter in the context of ACV's nearly 20% sequential increase in 2Q just to give us perspective on how the trajectory of your share gains has trended over the past couple of quarters. And I've got a follow-up.
George Chamoun: Yes, certainly, John. I'll start and then Bill and Tim could chime in accordingly. But first, thanks for the question. As we mentioned, wholesale -- the dealer wholesale overall as a segment, whether it be physical or digital, just the wholesale category for dealer was down about 10% as a category, we believe. And we -- so that -- we were -- our units were obviously down less than that, but as a category, we saw that wholesale with all of the changes in the market that we described was down. We, in turn, we've had significant gain, obviously, in new sellers, record-breaking new sellers, where we've been launching our products, taking more share. So we did better than the overall market for dealer wholesale, so very proud of the results with really our ability to grab additional share. Bill, do you want to add any more?
William Zerella: No. I think -- yes, I mean, the only thing I would add, John, is that, look, these are estimates to the best of our ability, trying to kind of scope out and try to figure out what the market has done over the last few quarters and year-on-year and what the trends have been. So these are our best estimates based on the data that we can see on our side.
John Colantuoni : Great. And just wanted to ask a question about the programmatic buying tool. Maybe talk about how quickly you expect to ramp it in Q4 and how you'll be marrying it with the auction platform. And maybe you can talk about if you see it providing any gains to overall conversion rates on ACV.
George Chamoun: Yes, certainly. So yes, conversion rates have been very strong on ACV. So we're very proud that we've really -- from a conversion perspective, the platform is operating extremely well. Programmatic buying is just going to add additional capabilities from really ensuring our sellers are really getting the right value for these vehicles. As you know, there's 2 phases of our programmatic buying: first, the API; and then second, the user experience. The API, some of the largest sort of dealers and other types of buyers are already integrating with. And we're already starting to have low single-digit percentage of our buying is happening programmatically, which is obviously fantastic. Meaning, these dealers are buying cars in the platform with computers automatically based on their preference. The user experience that's in beta right now with low handful of dealers, I would say, today, we're not broadcasting how many, is going really well. The dealers love the product. It allows them to really create their wish list. So for dealers that don't have a technology team or don't have a platform we can integrate, we have this programmatic user experience. So far so good. So I think we'll see it make, I think, a more material impact more likely throughout next year just because the rate of getting dealers trained, getting them onto the system. But in the meantime, we're already executing extremely well from a demand perspective.
John Colantuoni : Maybe if I could squeeze one more in. Can you talk a little bit about -- if you're able to talk a little bit about October, given wholesale prices have started to move back toward an upward trajectory beginning in late August, maybe how does that impact conversion rates and unit sales since the end of Q3?
William Zerella: Yes. John, it's Bill. Yes. So just if we kind of look back over the last few months going to the beginning of Q3, as we talked about on our last call, we saw conversion rates declining in July through August on our platform as basically prices started coming down week over week. What we observed since then, though, was an increase in conversion rates in September. So we started seeing really a lot of strength on our platform in September. That continued through October and has continued through November so far. So we're certainly seeing a lot more stability in the market. Prices actually started moving back up a bit in September. And I think you've heard probably similar comments from other companies in the ecosystem. So we've observed the same kind of dynamics on our platform as well.
Operator: Our next question comes from Ali Faghri with Guggenheim.
Ali-Ahmad Faghri: So I guess on your fourth quarter guidance, can you help us better understand what that embeds maybe for volumes and then GMV per unit, perhaps relative to the third quarter? Even directional commentary would be helpful.
William Zerella: Yes. Ali, it's Bill. So first, on GMV, you can assume it's roughly similar to what we've seen in Q3. So no dramatic shifts in that regard on GMV. In terms of the other factors affecting guidance. As I mentioned earlier, we've really seen strength on our platform in October, an improvement in conversion rates, so more velocity on the platform. That's continued so far in November. That said, we know that Q4 has seasonal factors associated with it as we get towards the holidays. So we have assumed those dynamics this quarter as in previous years. Whether or not this year is different or not, who knows, but we've assumed it's kind of consistent with the same seasonal trends. So we baked that into our unit modeling. So you can expect potentially there is some modest decline in units quarter-on-quarter. But the counter dynamic that we had baked into our numbers is the new number of additional sellers that we have on our platform as well. So you've got kind of puts and takes. But that hopefully gives you some sense directionally.
Ali-Ahmad Faghri: That's helpful. And then as a follow-up here, on your transport attach rates of 50%. As you mentioned, you hit your midterm target in just 3 quarters. So where do you think transport attach rates can go from here?
George Chamoun: I think over the -- between now and as we guide to our long-term plan between now and, let's say, March, I think we'll provide more guidance in this area. Obviously, we need new goals since we're already hitting our long-term goals there. I think what's really exciting is not only the metrics we're hitting. I mean we're really hitting -- the KPIs are going well. We look at actually -- we're making a little bit of money, where Transport's starting to really turn into a fantastic business, and we're still in the early days. We just launched this carrier app. We put a dedicated tech team for Transport, the metrics of us turning around cars quicker and quicker. You're starting to see all these dealers sending us just unbelievable sort of happiness. Like I can't believe I ordered the car, it was shipped to me within 24 hours. So we really just think about taking a step back. I mean 50% has been a great accomplishment. We're making a tiny bit of money, and that should just improve. That's incredible. The KPIs are going well. So I think we're really seeing within ACV is Transport was almost looked at as additional value add, but it's going to become a significant business. So hopefully, that gives you a little more color. But to your point, we're going to need updated goals and objectives since we've already hit our prior ones.
Ali-Ahmad Faghri: That's helpful, George. And then if I can squeeze one more in here. On the launch of the commercial private marketplace platform, I think you said 2022. Should we expect that in the first half of the year or the second half? Because I think originally, it was -- your plan was to launch it maybe at the end of this year, and it seems to have been pushed out a little bit. And then as part of that. Are you beta testing that product with any FinCos? Is it being developed? And do you expect to have customers in place when that product is launched?
George Chamoun: Yes. Thanks, Ali, for bringing that up. On the private marketplace for dealers, it's going extremely well, probably going better, faster than we were even expecting. You probably saw as part of the updates already of 20 dealer groups, we're launching about a dealer group a week right now. We shifted a little bit of the resources to focus on capabilities these big dealer groups wanted this year, and that's why you're seeing us say, hey, we probably won't launch our commercial offering until probably now closer to Q2. As you know, whenever you're building these things, you really are prioritizing. But the work we're doing on the dealer group side is just incredible. And just remind you all why. You end up getting first look at their inventory. So the dealer groups will get a trade. They get a trade or have an aged inventory. It goes into our platform first. And with that, we end up getting a first look at the open marketplace. So we're still very excited about the commercial opportunity. It's also been a good time to probably double down in dealer. As you know, commercial as a segment is going to stay relatively low next year compared to prior years. So I think in the bigger picture of things, whether we end up launching it in late Q1, early Q2, you're just seeing us prioritize what our dealer groups have needed this year, and that has worked out extremely well.
Operator: Our next question comes from Stephanie Moore with Truist.
Stephanie Moore: Actually, just a follow-up on the last question. Maybe I'm just missing something. But with these new -- the new ACV private marketplace and getting these dealer groups engage, what's the benefit to them to first start out on this private marketplace versus the original ACV platform? I guess I'm not seeing the distinction and why they would do one or the other, so just a clarification there would be helpful.
George Chamoun: Yes, certainly, Stephanie. So thank you. The -- our open marketplace is a fantastic way for dealers to sell their wholesale cars, right? So whether it's a fresh trade, whether it's an aged car, and to your point, we've had that for the last handful of years as a fantastic solution. What private marketplace solves is for dealers to have a platform to first sell cars within their group before letting those vehicles go into open marketplace, with ACV's or any other auction. So look at it as like the order of operations. Like what comes first? Dealers want to make sure they're wholesaling the right vehicles, and they're not wholesaling vehicles that belong to their group. So there's been a couple of, I would say, competing solutions historically that have tried to do this. So we weren't the first, I would say, come up with the idea, but we were the first to execute extremely well in this category. And so what allows the dealer group to take, whether it be a fresh trade or an aged car, have their group in on it. Another use case that's come out of this is dealer groups are buying cars from consumers at a group level. And let's say they buy x 100 cars from consumers in a given month, they don't necessarily know where that car will land, whether it will land at their Ford store or their Chevy store. So what some of these groups are leveraging ACV for, again, as they're buying cars from consumers, it goes into ACV Private Marketplace first. And then if they decide not to keep it within their group, it gets wholesaled on ACV.
Stephanie Moore : Absolutely. No, that's very helpful. And then presumably, this could be something -- and I think you mentioned that this could also be used with off-lease vehicles that are also traded in with these dealers. And we're giving them the first look with their other franchise dealers as well. Is that a fair point?
George Chamoun: Yes, that's correct. And as Ali was mentioning, there's off lease. There's other categories within commercial, like fleet and other categories. We -- what those companies need is a little bit more of a co-brand or a white label solution, whereas our current platform is within the ACV Auctions proper. So we've got a little bit more work to do there to really have more of a white label platform than sort of an embedded co-branded solution. I'm trying not to get too technical here, but there's just a little bit more requirement that we need to deliver on before we can really match what the commercial partners are looking for. And then they'll also get the other benefits of ACV, which is our inspection capabilities, more data per car. So think there are certain capabilities we still need, which we will deliver next year, and then they also get the benefit from our other sort of strong and differentiated capabilities.
Stephanie Moore : Absolutely. And then my other question just relates to seeing obviously very impressive operating leverage despite the meaningful investments. Could you talk a little bit about maybe some of the scale benefits you're seeing in some of your older markets? Whether it's the scale from you're building up the sales team, maybe some improvements on the inspection teams, whether they're just being more efficient. And then also, I would love to hear your thoughts on, as you are expanding into new markets, what you're seeing from a labor standpoint being able to attract talent. So all that would be helpful.
George Chamoun: Yes, I'll start and then Bill can also chime in. We're -- our mature markets are really, really going as planned. So we're -- we've been able to hire the talent in our mature markets. We've been able to increase efficiency. I mean you're seeing we're using a lot less capital this year than we had originally planned throughout the year. So the business has become -- has really operated extremely well. Bill could add a little bit more there. In addition to what's going on in the field, our product and technology -- and I'm glad you asked the question. We haven't done updates so far in sort of our platform for inspections and other capabilities that maybe we'll do in the next earnings call. But we're really -- we're doing a great job of updating our inspections platform. It helps in that efficiency. It helps in delivering more superior results. But I would just say at a really high level, so far, so good. We're really delivering as planned. Bill, do you want to add anything else?
William Zerella: Yes. I guess what I would add, Stephanie, is, look, again, this has been an investment year for us. And we're investing, frankly, across the entire business in pretty much every way that we can, right? So we're basically investing in order to be able to scale this company as we get to much larger levels of volumes in a very efficient way. And I think you're starting to see some of that. I wouldn't say there's any one particular area that I would point out. It's kind of broad-based across everything that we do operationally in terms of running the business. So again, I think, over time, these benefits will get larger as we grow in scale. But you certainly are starting to see some of that flow through the P&L this year.
Operator: Our next question comes from Alex Potter with Piper Sandler.
Alexander Potter: Okay. Great. So I'm going to ask a question maybe that's a little unfair, but I'll ask anyway. You mentioned, obviously, you've got richer mix coming in. Clearly, the GMV per unit is super, super high right now, partially because of the market, but some of it is more structural in nature, more permanent in nature. So if you're in my seat, and you're trying to build sort of a long-term model, looking out past all of this COVID disruption to something that's more normalized, where do you think GMV per unit settles out?
George Chamoun: Alex, that's a fantastic question. I'm glad you led it with it, it's an unfair question. What did we model in out years, [Mike]?
Unidentified Company Representative: [indiscernible] 
George Chamoun: Yes. I mean we had -- Alex, I think it's a great question. In the long-term model we provided you all, we only had 12,500 in the long-term model. So it really is a great question. I'm not going to answer it. But I think what we're all sensing is we are starting to hit metrics that we would have predicted we would hit in our long-term model much sooner. We will need updated goals as we move along. I think it's a very fair question, but I don't think we're prepared to answer it yet.
William Zerella: Yes. The only other thing I would add, Alex -- and yes, it is a good question. If you look at the 5-year model that we gave everyone in the syndicate for the IPO, right, we basically have already hit our ARPU projection from 2025 now. In fact, it was 3 73 in Q3. If you go back to the long-term model we gave you guys, in 2025, we had projected it at 3 71 in terms of Auction-only ARPU, right? So -- and to George's point, we've already exceeded the 5-year projection in terms of GMV per unit. So certainly, some of this is a result of elevated prices for used cars, right? And that will start to moderate over time. But at least versus the longer-term targets that we put out there, we're already exceeding those. So...
George Chamoun: And I think one more thing. I think why you're pointing this out is important as you are seeing our confidence that the ACV platform is being leveraged for a broader segment of vehicles. And we're -- and you're seeing us lean in a little bit more that we're going to see -- we believe we're going to see a broader product mix on ACV because I think our buying experience from either the programmatic APIs, the filters we've added over the last couple of quarters, the confidence, the low arbitration rate, the confidence, really the ease of buying these unbelievable cars, dealers buying consumer cars, flipping them on ACV, these fresh, fresh units, you're really starting to see our confidence that mix is here to stay. Obviously, you'll see some price declines or whatever will happen in the industry, but mix is here to stay, and we're really excited. So Alex, more to come on this as we start to sort of reupdate you all on our updated goals and objectives.
Alexander Potter: Okay. Great. That's actually a really helpful answer. Maybe one last one then on ACV Transport. Obviously, the attach rates there are trending higher than expected. That's all good to see. That's all top line commentary. It looks like profitability of that business is doing okay. It's at least some [non-0] number. Just any, I guess, commentary you can add on profitability in the most recent quarter and then looking forward for ACV Transport would be helpful.
George Chamoun: So I'll start, and Bill can kind of chime in. To your point, efficiency across the business is going better than planned, right? And Transport is one of those areas where we are ahead of plan. So if you ask why, it's -- we -- when we went public, we only had a few people on the tech team devoted to Transport. At least we now have over a dozen. So we just in full -- you've seen us be very transparent. We've been hiring, scaling our tech. We're now somewhere around 300-plus people in our product and tech organization across the board. So we've got the resources. We've got more resources we're hiring. You're seeing us plan in Q4 additional tech resources, right? You're seeing us lean in. We're doing a great job of expanding that team. And Transport is one of those areas that's starting to benefit. And we're just releasing some of these products. And it will help not only turn this into a profitable business but also just as important is great KPIs for our dealers, right, where they're getting the cars faster. We're starting to get more scale. Carriers are saying great things about ACV. You've got carriers around the country, who their whole job right now is just fulfilling cars in ACV. Entrepreneurs across the country, that's literally how they make all their money. And so we're really proud of where we're at. And I think the tech investments, along with the team we put on, this will create just additional efficiency and additional scale. Bill, I don't know if I left anything out.
William Zerella: No. I would just add, I believe we spoke about this last quarter, that we've actually created automation in terms of scheduling and arranging for transports. And last quarter, we talked about 20% of all transport transactions were effectively fully automated, right? So no human touch. And that will just increase over time. So yet another example of...
George Chamoun: And this part, we were just shy of 25%. The 24-point-something percent, almost 25% of our dispatches this past quarter, were done in a programmatic way where we had a carrier ready. So things -- like that's just another area where our team is just killing it.
Operator: Our next question comes from Rajat Gupta with JPMorgan.
Rajat Gupta: So just had like a broader question more around the competitive landscape. We have backlog numbers maybe flattish quarter-over-quarter, maybe slightly more -- down more in the U.S. CarOffer last night talked about a sequential decline. So you mentioned the overall market, you outperformed the overall market. But just within the digital dealer-to-dealer landscape, how would you rate your performance versus some of the peers? And then just broadly on competition. Are you seeing some more pressures here as these other platforms start to invest more? EBlock is going to come soon more aggressively in the U.S. So just broadly thoughts on competition and just your performance relative to them in the third quarter. Any update on that would be helpful. And I have a follow-up.
George Chamoun: Yes. Raj, it's George. Thanks again for the question. We -- my generic answer, without getting into any one of these hundreds of competitors we have, is we've had competitors from day 1. One of our competitors sells somewhere around 4 million cars a year. One sells a few million cars a year. The digital guys, all of us in the aggregate, we're still a small percentage, right? And -- but we're -- in a way, to your point, the whole category is growing. So a way to look at last quarter is overall wholesale was down for the quarter more than likely for the category, dealer wholesale. And we had a record break in new sellers. I'm sure other folks are going to say they had record-breaking new sellers. And the segment is maturing. And I think the key is, like any business, what are you investing in. Are you investing in technology? And do you have the resources to invest in tech to really create something differentiated, solving the problems for our dealers? And we love our road map. We love our execution. Are you building the right culture? Are you building the right team? I love my team. I love what we're doing so far. And are your dealers like raving fans of what you're doing? And I believe we've got that going for us as well. So there's always going to be competition. We have had it from day 1, right, when we had very little resources, to today, we've got tremendous capital to work with. We've got great momentum. We've got a scaled tech and field team. So we're feeling good.
Rajat Gupta: Great. And just follow up to that. The OpEx pickup here in the fourth quarter, is that just more trying to get ahead of your investment curve, given like volumes are significantly down quarter-over-quarter? Just more...
George Chamoun: I'll start, and Bill can add in. Yes, over half of that is just us trying to hire more people. Bill can give a little more fidelity to it. But -- we're -- we've got dozens more of tech folks we're trying to hire, a few more sort of field resource folks on the sales side we're trying to hire. So this is -- we've mentioned it's an investment area, but over half of that is trying to expand on the people side. But Bill, I don't know if there's any more fidelity we can add to that.
William Zerella: Yes. I mean what I would -- the only thing I would say, Rajat, is that, look, we're continuing to invest across the business as we had planned. Although that said, those investments have been lower than previously projected. So while we're investing and OpEx was expected to increase about 57% year-on-year for this year, that dollar amount of investment is actually lower than we had modeled originally coming into the year. So we're kind of executing across the business on a lower level of OpEx spend, but we're kind of continuing to invest into growth, right, as we think about not just obviously the next quarter or two, but looking at over the next several years in terms of driving new product and new technologies into the market and operational efficiencies and kind of improvements that we just spoke about. But look, we're spending less money on the OpEx side than we had previously projected.
Rajat Gupta: Got it. Got it. Then just one last follow-up on just this competition landscape. Are you seeing any sort of like -- are you worried about discipline here going forward as competitors come onboard? You just have like a lot of them investing. And how do you get around that? And then you've talked about this programmatic buying like other competitors have talked about to some extent. Just any color on the economics on that front related to that would also be helpful.
George Chamoun: Yes. Our revenue per unit has been strong. We've -- we're -- to your point, there's been lots of competition out there. There always has been lots of competition. Our revenue per unit is strong. We're adding a lot of sellers to the platform. We're doing that, obviously, even leveraging less operating resources than planned, right? So if you just look at this as like if -- if you look at this as like how are we performing amidst all this competition, amidst all these changes in the marketplace, we're doing extremely well. And so that -- you always have to be aware of your competitors, you need to be respectful. But I'm more focused on our plan, what we said we were going to do, go out there building relationships with thousands of dealers across the U.S., building great products, building great platforms that we can grow in the future. And you're really hearing us say we've -- we're really outperforming our plan, even though there's X, Y, Z competitors out there.
Rajat Gupta: Got it. And on the programmatic buying economics versus like just the traditional business, any quick thoughts on that?
George Chamoun: Yes. There's two parts of programmatic. You really heard me talk more about the buying side, which is there's really no difference on the economics. It's just a way to buy the vehicle. We haven't really announced yet any programmatic selling capabilities. You've seen us be a little bit more quiet on that. But I would say, at a really high level, we're -- those are all, to me, just features, is a simple way to look at it. And the revenue of sell and buy, in my opinion, won't go down. There might be some opportunities over the next few years for some of these models to -- but I don't want to lean in yet and create any expectations to sort of -- could some of this improve with some of these models. But I would say the simple way to look at it is this new buying and selling capabilities, I don't have any -- you're not seeing any lack of confidence on what we've been doing from a revenue per unit and execution perspective.
Operator: Our next question comes from Bob Labick with CJS Securities.
Robert Labick: I wanted to go back to GMV per unit. Obviously, up materially year-over-year, and market has something to do with that. But it's also higher than a lot of your digital peers, and it also grew faster year-over-year this quarter than other digital peers. So you're obviously attracting a higher price point, I guess, and a higher mix. So maybe help us understand what you're doing differently that's enabling you to get this better mix and faster, better mix, if that kind of makes sense.
George Chamoun: Yes, certainly, Bob. And obviously you've been watching this for -- I don't know if I would tell everybody, I'll just call it at least a decade of auction experience. I won't date how long you've been watching this industry.
Robert Labick: You're being kind.
George Chamoun: Yes. The simple way to look at it is we really have now full coverage from a buying, from a demand perspective, where if everything starts with demand because supply, folks will try you. But if you don't have the right demand, they're not going to try you a second or a third time. They're going to try you once, and they're not going to come back with that asset. And on demand side, we've got buyers for $100,000 cars. We've got demand for $75,000, $50,000, $25,000 for clean cars that have 0 CARFAX issues, and we've got demand for $40,000 cars with a bad CARFAX. So when you look at the whole segment, even though we started out as sort of that back of the dealership type of auction where you just got the aged stuff, we've grown up, and we're now a full service auction. And we now have all the segments covered. So then the question is why? Because as you know, we got a lot of that done before we got programmatic buying done. We got that done before some of these new features we just live. The reason is, is there's confidence that there's trust in the inspection, there's trust in the brand of ACV. We're going to do the right thing. I could buy these assets. Now that we've built that trust with the best tech in the platform, the best people, are the use cases, whether it's buying cars from consumers and flipping them on ACV, whether it's an aged car that's sitting under a lot that's 60 days old, that right now, from a wholesale perspective, is great, every use case you could think about, you know all these details, Bob. Each one of those now, we've got a buyer for that. And they're ready and they want these vehicles. So the more demand you have, right, the more confidence you get from the supply to leverage the broad power of our platform.
Robert Labick: Got it. Okay. Great. And then you hinted at this and a little while ago in one of your answers, I think. But as inspections are critical to your success, I think you've talked about in the past, upgrading the inspection system. You've been integrating multiple inspections. Can you talk about the progress towards your, maybe for lack of a better term, next-level inspection system or when we might hear more about that?
George Chamoun: Yes, certainly. Yes, we -- the internal code name is SIA, our single inspection app. We don't have a name for it outside. But Bob, it's going well. It's live right now. I believe we have over 30 inspectors...
Unidentified Company Representative: Inspector?
George Chamoun: Oh, so we have -- over 100 of our inspector teammates now are already utilizing this. So it's really beyond, I would say, an internal beta. We're really actively rolling this out. And whenever you're going from one platform to another, you really want to train your teammates. You want to make sure they're going from one platform to another. But just to remind everyone else on why this was a big bad. It's actually one of our largest product and tech teams that we have here, which is our inspection platform. It allows us to not only do our wholesale inspections more efficiently, but in addition, it really walks our inspectors through the right things to do per car, and it's starting to bring some intelligence. It allows us with that same app to do commercial or off-lease or other types of inspections. Allows us to create reports on a vehicle. Let's say, for example, that specific vehicle has a bad CARFAX, meaning, it's been damaged or whatnot, we can send that report, whether it be to CARFAX or AutoCheck or others. So think about multiple different use cases from one inspection platform. And yes, it's going well. We're out there. And by the, I would say, end of Q1, beginning of Q2, we would likely have all of our inspection team trained and moved over to this advanced platform.
Operator: That's all the time we have for questions. I'd like to turn the call back over to Tim Fox for closing remarks.
Tim Fox: Great. Thanks, Michelle, and I would like to thank everybody for joining us on the call today. We're going to be participating in a number of virtual investor events over this next quarter, so please look for details on our investor website. We look forward to seeing you on the conference circuit in the coming months. And again, thank you for your interest in ACV, and have a great evening.
George Chamoun: Thanks.
William Zerella: Thanks, everyone. Have a good night. Bye.
Operator: This concludes the conference. You may now disconnect.